Operator: Good day, and welcome to the Arch Resources Third Quarter 2024 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Deck Slone, Senior Vice President of Strategy and Public Policy. Please go ahead.
Deck Slone: Good morning from St. Louis, and thanks for joining us today. Before we begin, let me remind you that certain statements made during this call, including statements relating to our expected future business and financial performance may be considered forward-looking statements according to the Private Securities Litigation Reform Act. Forward-looking statements, by their nature, address matters that are to different degrees, uncertain. These uncertainties, which are described in more detail in the annual and quarterly reports that we filed with the SEC, may cause our actual future results to be materially different than those expressed in our forward-looking statements. We do not undertake to update our forward-looking statements, whether as a result of new information, future events, or otherwise, except as may be required by law. I'd also like to remind you that you can find a reconciliation of the non-GAAP financial measures that we plan to discuss this morning at the end of our press release, a copy of which we've posted in the Investors section of our website at archrsc.com. Joining me on this morning's call will be Paul Lang, our CEO. After Paul's formal remarks, we'll be happy to take questions. With that, I'll now turn the call over to Paul. Paul?
Paul Lang: Thanks, Deck, and good morning, everyone. We appreciate your interest in Arch and are glad you could join us on the call this morning. The third quarter marked a period of significant transition and change for Arch. Since the start of Q3, the Arch team has positioned the company for long-term value creation and growth in two fundamental ways. First, through the announcement of our transformational merger with CONSOL Energy and second, through the near completion of a multi-quarter transition in a more favorable geology in both of our metallurgical longwall mines. We expect the culmination of these two processes in Q1 2025 for the merger at mid-November of this year, for the operational transitions to both drive a tremendous value for our shareholders going forward. During Q3, the company also continued to make strong progress in the development of the favorable B-Seam reserves in our West Elk mine where we produce a high-rank thermal coal focused on the seaborne market. Managed through a three-week outage of the shiploader at the Curtis Bay Terminal that reduced our coking coal shipments by approximately 200,000 tons and declared a $0.25 per share fixed dividend for a total payment of $4.6 million payable on November 26. While I plan to devote a large portion of my prepared remarks to the pending merger, given the transformative nature of the deal, let me start with some color on our Q3 results, as well as our views on the current state of the global coal markets. As you know, we spent much of 2024 transition through difficult reserve areas at Leer and Leer South. During Q3, both of the metallurgical segment's longwalls were throttled back while development work was completed in the more favorable reserve areas, which depressed production volumes led to slightly even higher normal operating costs. We expect both longwalls to start back up within the next several days after extended moves that were needed to complete this work. These extended moves will in turn tempered results in the fourth quarter, but we still expect a positive step change in execution from these operations after that and continuing well into 2025. Turning to the thermal assets. The segment saw a significant turnaround during Q3. Here, the results benefited from an improved performance from the legacy Powder River Basin operations where cost-cutting measures and better alignment between stripping activities and sales volumes contributed to stronger results. The West Elk well, the mine operated well, although its results were again dampened by lower realizations related to legacy contracts, the vast majority of which will expire at the end of this year. Also, as noted before, we are still seeing higher cost of the mine associated with additional continuous miner work required for the development of the B-Seam reserves. Back to metallurgical segment, we are anticipating a significant step-up from the thermal segments performance in the coming year. At West Elk, we expect to benefit for the roll-off of low-priced contracts previously noted. In addition to this, we expect to further strengthening of our operating results at the mine with the completion of the development work in the B-Seam and the transition into those thicker and lower-cost reserves in mid-2025. In the Powder River Basin, we expect the improved performance stemming from our recent efforts to rightsize the operation to also continue in the new year. As for global coking coal markets, we continue to believe that supply and demand are closer to balance than current pricing seems to suggest. I see that for several reasons. Our global customers continue to move their committed volumes on a timely basis, and we've been asked to accelerate shipments in select instances. Second, global hot metal production, excluding China, remains close to flat year-to-date. Third, global coking coal supply remains constrained as evidenced by the flat production levels in the high-quality supply base. Fourth, China's seaborne imports of coking coal are up nearly 30% year-to-date, with most net growth in supply coming from high-quality regions. And finally, we are starting to see the closure of smaller coking coal operations as pricing has started to impact marginal mines. In summary, intermediate and long-term coking coal market fundamentals remain constructive in our view. We believe that even a modest improvement in economic activity in continue steel producing regions, has the potential to lift coking coal markets quickly. Meanwhile, the high-rank seaborne thermal market continues to appear tight, benefiting from many of the same dynamics such as years of owner investment in new and replacement supply that underpin the coking coal story. With that, I'll shift my remaining remarks to our merger with CONSOL Energy. First, I'm pleased to report that we are making excellent progress and bringing the transaction to completion. In recent weeks, we've seen an expiration of the Hart-Scott-Rodino waiting period while also securing all the needing international antitrust approvals. Clearly these were significant steps. It's also important to note that since the announcement of the merger, the teams have been driving forward with efforts to deliver efficient integration process following the completion of the merger that should in turn unlock significant synergistic value in the combination. Basically, we plan to hit the ground running following the close. The next step in the merger process is stockholder votes for both companies. In preparation for this, we are currently working to finalize the formats for the document. The closing of the merger remains subject to approval by both stockholders – by stockholders of both companies and a satisfaction to remaining customary closing conditions. We expect to complete the merger in the first quarter of 2025 and then to move full speed into the integration. To reiterate many of the projected benefits in this tremendous merger, we expect combination will join best-in-sector operating platforms anchored by a world-class high-quality, low-cost and long-life longwall mines, create a broad, diverse portfolio of coal qualities and blends capable of serving multiple growth markets and geographies. Expanding North American logistics and export capabilities including ownership in two East Coast terminals and long-standing relationships with West Coast and Gulf Coast ports. Creates visible revenue stream with meaningful upside opportunities balancing CONSOL's seaborne industrial business with Arch's exposure to higher-value metallurgical coals and associated demand dynamics, enable robust adjusted EBITDA and free cash flow generation, unlock additional value creation from $110 million to $140 million of annual cost savings and synergies and creates a potential for robust capital returns and investment in innovation and growth underpinned by industry-related cash generation and a strong balance sheet. Once the transaction closes, we'll turn our full attention to realize the potential of the combined company with a strong focus on capturing the significant quantifiable synergies we've identified in the areas of logistics, lending, marketing, procurement and streamlining of the corporate structure as well as aggressively pursuing the harder to quantify, but equally compelling opportunities in areas such as sharing best practices across an extensive level of fleet. And going to say again how enthusiastic we are about the excellent progress the two companies are making to bring the merger to a successful closing in a way in which the Arch operations are aligning themselves for a strong 2025. We are more confident than ever that the pending merger will create a global industry leader, well equipped to capitalize on promising market dynamics in both of its core lines of business, global metallurgical and high-rank seaborne thermal coal. With that, we'd be happy to take your questions. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions] And our first question comes from Lucas Pipes with B. Riley Securities. Please go ahead.
Lucas Pipes: Thank you very much, operator. Good morning, everyone. Happy election day. Paul, my first question is on contracts for 2025. And apologies if I missed it, but could you speak to domestic or North American met coal contracts for next year tonnage and price? And then on the thermal coal side, would you be able to provide an update as it relates to the PRB and West Elk and pricing expectations for those operations as well. Thank you very much.
Paul Lang: I think I'll repeat the same thing I probably said in the last five years, which is we really appreciate the North American business. There's a lot of value to it as far as logistics in that. But we've been quite willing to walk away from it if the pricing is too low compared to what we think the international markets will be and I think what you're going to see in 2025 is that very thick. I think – if I think back six years ago, we did about 50% of our coking coal business in North America. If I look at 2025, I think that number could be down much lower. And right now, we have committed about 0.5 million tons and we're just under 150 on that price. So that's why we end up, that's where we end up, I'm fine with Lucas.
Deck Slone: I'd just add one final point to that. That includes about 20% now more, so about 20% High-Vol B, which weighs on that a little bit. So given that fact, we thought that, that 150 price was a fair price given today's current soft market environment for that small amount of tonnage.
Paul Lang: Yes. One thing with PRB, Lucas, we haven't given a lot of detail, but we're still plus $15 our average price and call it the low 40s or $40 compared to right now.
Deck Slone: And we've been able to maintain that, Lucas, at that level. But right now, that market is pretty soft, but because of the way we've managed deferrals with customers and been willing to sort of blow and expand, we've been able to keep that pricing at that higher level for 2025 and beyond. And so really managing the book carefully despite the fact that right now, the published prices are lower. And then when you look at West Elk, look, I think we've done a really nice job there as the existing legacy contracts that are scheduled to roll off, start to come due. So we've got legacy contracts in the industrial space at around $40 on average that roll off at the end of this year, and that's getting – those are getting replaced with prices that are as much as $30 higher. Now we haven't committed all the volume yet. But so far, that's where it's shaking out. That's a scarce product. We're able to capture really good value. So that's that first step up we would expect to see in terms of West Elk contribution in 2025 is the roll-off of the legacy contracts and then sort of these newer commitments kicking in. And then the year 2025 again, we'd reiterate the fact that we also then see cost set down as development work on the B-Seam and as well as our transition to thicker coal in the B-Seam even higher quality coal, so an additional step-up in mid-2025 related to the comp side, if you think about it from a margin perspective. So enthusiastic about how things are shaping up for West Elk for next year.
Lucas Pipes: I appreciate all the detail. Question on the High-Vol A markets. A few of your peers noted that high – that kind of the High-Vol markets are oversupplied. What's your take on that? Any ability to quantify the oversupply, if you agree with that take. And for a product like Leer in today's market environment, what are good netbacks to kind of think about? Thank you very much for your color.
Deck Slone: Yes. Lucas, this is Deck. What I would say about the High-Vol A market is, obviously, right now, it's generally a little soft out there overall. Look, I think the High-Vol A market is not different than the market for other products. As Paul said, at this moment, the market seems fairly finely calibrated. Now maybe it's a little bit oversupplied and a little soft, but we don't – it doesn't seem like we are far from balance. And so it's not going to take much I think, to tip things into sort of a more virtuous sort of segment of the cycle. So if you think about, as Paul indicated, more hot metal production globally for the world, excluding China, relatively flat, you've got aggregate supply from Australia, the U.S. and Canada relatively flat right now. So no change on that front. Chinese steel exports are up. So that's a negative on the flip side, Chinese seaborne coking coal imports are up as well. So again, relatively finally calibrated here. We continue to see significant appetite for all our products in the marketplace. There's not urgency in terms of buying. It's not like we're seeing pricing being listed behind that. But Asian buyers are very focused on finding where the supply is going to come from for next year and very interested in our products. We've had really good uptake for all of our products in the Asian market. And I would say for High-Vol A in particular, and that's because look, we're providing that your brand is providing both a very high CSR quality, so a CSR of around 70, but also all those plastics properties that make it such a good blend stock. So the high fluidity, the wide temperature range, the strong [indiscernible]. So all those things that also mean that when you put into a blend, the result is more homogeneous coke at the back end of the coke oven. So I would say this, look the Asian buyers buy our High-Vol A product for lots of reasons. It's not necessarily just the fluidity. It's also for the high CSR. We couldn't be more happy in terms of the uptake there. We continue to build new customers in places like Malaysia, Indonesian demand continues to climb for the merchant coke production there, the big Chinese buyers are very eager to increase the amount of Leer volume that they're able to access, and we can only talk about so much because we only have so much volume. But we're pleased with that, and we think the High-Vol A dynamics are really – are really, again, not dissimilar to the other products, but for our Leer products in particular, we think there's a really strong enthusiasm out there.
Paul Lang: There's two other small points. I think we should make, and that is one of my best indication I think, in the market is customers are pushing back on volume. As I said in my prepared remarks, we're not seeing any of that. So we're still seeing what I would call normal demand. And I was also surprised by the fact that we had some customers trying to accelerate shipments. I think the other point I'd like to make is we – as I noted in my prepared remarks, we were – had to suffer through about 200,000 tons of lost shipments because of the ship order incident at Curtis Bay. As I look at it, we ended up the quarter with about 0.5 million tons of inventories. And I just don't feel a lot of necessary means to just go up, push that coal out in the market right now either. Look, I think the market is fine where it's at. I think another quarter or two of being flat like this should help things in general on the supply-demand balance. And I think we're going to be patient heading into the New Year.
Lucas Pipes: Thank you for all the color. I'll try a quick one, and sorry if I missed it. Is there a date for the shareholder vote?
Paul Lang: Not yet.
Lucas Pipes: All right. Well thank you very much for all the color. Best of luck and yes, look forward to the merger. Thank you.
Paul Lang: Lucas, thank you.
Deck Slone: Thanks, Lucas.
Operator: Our next question comes from Nathan Martin with The Benchmark Company. Please go ahead.
Nathan Martin: Thanks, operator. Good morning, guys.
Paul Lang: Good morning, Nate.
Nathan Martin: Maybe just a follow-up on the second part of one of Lucas' questions regarding the netback Deck. I don't know if you could give us kind of an idea of what that looks like right now. Again, it seems like some of the price realizations you and your peers are seeing or maybe reflecting higher-than-normal discount. So that might be helpful.
Deck Slone: Yes, Nate. So I would say that, look, I understand how you get there. When you look at the average price of HVA during Q3, it was a little light from a netback perspective. But I would say, look, there are a couple of reasons for that. The first is that during Q2, we shipped a fair amount of volume, particularly in June that end up getting priced in Q3 in a declining market environment. So even though if you look at the average realization in Q3 as being somewhat higher, some of the provisional pricing that we had committed to in Q2 ended up coming in lower. So that did roll a little bit on those netbacks. But also point to the convergence of premium lows on HVA pricing. As you know, as we ship times into Asia, there is a transportation differential. And so in recent quarters that stronger pricing for premium low vol had really served to counterbalance that transportation differential for those tons that were committed based on PRB prices. So both those things weighed somewhat on our average netback. I would say that the good news is that all that will ride itself over time. But the good news is we're not having to discount. The good news is, as discussed, there's really good appetite out there for our products. There are lots of different structures that we use without a doubt. But in terms of going out there and having to discount our products just to move them, even in the soft market environment, we're simply not having to go there, which I think really does bode well for the future and further underscores the great success we're having in getting these tons placed in Asia.
Nathan Martin: Thanks for that, Deck. Maybe kind of shifting over to the fourth quarter. I mean I appreciate you guys don't want to give updated full-year guidance due to the merger. But given some of the challenges in the third quarter, obviously, the shiploader outage, you called out, lost about 200,000 tons of shipments there. Is it reasonable to assume that met coal shipments could increase sequentially in the fourth quarter? Or do you think other headwinds such as the extended longwall moves you guys called out and as well as the weaker markets we're talking about, make that not the case.
Paul Lang: Look, I think the way to look at Q4 is – we're coming through what I would call one of the reference couple of months, but I've had in a long time, it was a difficult period for lots of reasons. And the good news is, is that we set ourselves up very well. Both Leer and Leer South have come through some very difficult areas. And the Leer South longwall is expected to start up later this week in District 1 – excuse me, in District 2 and we still believe that, that panel looks very good and have lot of optimism. And we also had a stretch here in the last couple of weeks where we had an extended longwall move due to some of the conditions we were encountering. Look, I've huge faith in the team at Leer. They've delivered constantly year after year. And if you look back to the history of Leer in the last 13, 14 years, not every couple of years, we'll get a bad quarter, and that's pretty well what we did in Q3. But as I look at Q4, some of those residual pains carried on into October, and I said in our prepared remarks, I am expecting a step-up in performance in the back half, starting really later this week, early next week. And the way I would look at Q4 just for simplicity and just kind of in general is, I would start with kind of a very similar quarter than what we had in Q3 volume-wide. Part of that is the market doesn't respond, we're just not going to push a lot of coal into it. And second, I think we can come out better than I anticipated, but I want to be relatively cautious in what we're saying in the start-up in both panels. And I think it just in general if you look at the rest, we didn't give explicit guidance on the rest of the quarter. I think you can infer from the silence on everything else that we're going to be pretty much as we've said before.
Nathan Martin: Thanks for that, Paul. And then maybe just one final one. You guys gave a pretty thorough discussion in prepared remarks about your thermal coal business. I guess just how do you think about the role of those thermal assets kind of heading into the closing of the proposed merger with CONSOL?
Paul Lang: So I'll start with the easiest one, which is West Elk. West Elk fits clearly in our strategy of pursuing high-quality seaborne thermal business. West Elk is going to be a big player in that business for the next 10 years plus. So clearly, West Elk has a place. You move on to PRB, it's a tougher discussion. I've been very open in the last couple of years about whether it fits longer-term in the portfolio, and what we can do. But we've made no bones about talking to people about our alternatives with it, and we will continue to do so. But at the end of the day, we've set aside the reclamation fund and we have a view of what the value of that mine is. If someone's willing to give that to us upfront. We'll listen to them. But it has to be a clean exit. And by that, I mean we're going to – we will get out of it with no bonds, no permits, no leases, truly clear exit. And if somebody could do that with the value brought forward, we've definitely listen to it.
Deck Slone: Maybe I'll just add just a little bit more color around West Elk and what a good fit that is. Look, as we move into the BC in particular, West Elk will move up again in terms of heat content and already is the high-quality coal. But as we into the BC, it will be approaching a 12,000 BTU product very low sulfur. When you think about West Elk and PAMC, you're talking about two of the highest ranked coals in the seaborne marketplace. So that fit couldn't be better. We're enthusiastic, quite frankly, West Elk has been our only asset that is focused on the seaborne thermal market. The fact is that I think there'll be a greater understanding and appreciation of it being truly a core asset for us going forward and an exceptionally strong fit with the portfolio.
Nathan Martin: All right. Very helpful, gentlemen. Appreciate the time. Good luck here in the fourth quarter and with getting the merger completed.
Deck Slone: Thank you, Nate.
Paul Lang: Thanks, Nate.
Operator: And the next question comes from Katja Jancic with BMO Capital Markets. Please go ahead.
Katja Jancic: Hi. Thanks for taking my questions.
Paul Lang: Hi, Katja.
Katja Jancic: I might have missed this, but you mentioned Leer was going through a bit of a challenging geology. Is that now behind? Or when should we expect it back to, let's say, more normal operations?
Paul Lang: Hi, Katja, this is Paul. It really started in what I'd say, kind of late September and through October or was a pretty rough period in both mines. The good news is both longwalls are through it. I'm expecting to start off with the Leer South longwall later this week and the Leer longwall will be a couple of days behind that. And by all indications, panels that we're going into are good, and we're expecting production to pick back up kind of what our expectations are.
Katja Jancic: And what would be like a normalized production level at Leer. Can you remind us?
Paul Lang: Yes roughly, we've been running basically about 1 million tons a quarter, both coking coal and blends – and we've done slightly better than that. I wouldn't be surprised to that at Leer going into the fourth quarter at a normalized rate after the fourth quarter. Leer South is still continue to ramp up. I think it's got a chance of coming up to its potential at the end of our last panel of District 1, we saw some really good rates and a lot of optimism at that mine. I still think that operation has got some ability to grow and continue to increase production.
Deck Slone: Everything we're seeing high in District 2 at Leer South, is reflective of our expectations. It is nearly a foot picker in terms of the coal team there relative to where we've been in District 1. So a very substantial improvement there, and that should translate into higher yields, which should also translate into lower costs and then Leer being very thick coal in 2025. So both those developments really bode well for strong execution in 2025. As you know, we've been talking a lot about transitioning from District 1 to District 2 at Leer South, and we've put a lot of focus on that but feel really good about what we're seeing. And as Paul indicated, development was a little slower in getting District 2 ready. So we had to move the longwall have been down for the first six weeks or so of this quarter. But as we look at development on the next panel in District 2, that's – we expect that to proceed and be ready to roll as we go through the first panel in District 2. So feeling really quite positive about what we're seeing.
Katja Jancic: So is it still fair to assume that now that Leer South entered District 2 that we should be seeing coal production closer to 4 million tons per year plus?
Deck Slone: We've avoided putting numbers out there and don't feel like that is appropriate here. Obviously, we're going through our own budgeting process and fully expect to integrate our budgeting process with CONSOL before too long. So we're not going to provide explicit guidance. But clearly, what we're saying is that both Leer and Leer South, we expect productivity to be higher. We expect costs to be lower. That clearly should translate into a better performance for the metallurgical portfolio overall in 2025.
Katja Jancic: Okay. Thank you.
Deck Slone: Thank you, Katja.
Operator: The next question comes from Michael Dudas with Vertical Research Partners. Please go ahead. Hello, Michael, your line is open. Go ahead, please.
Michael Dudas: Yes. I know. Good morning, Deck and Paul. Paul, maybe just share some thoughts on the stress on the supply side in Appalachia, given where pricing is for coking coal product. And if we continue to see some softness, will it be noticeable? And are you seeing that from whether it's the labor side or some vendors, et cetera? Maybe get a sense of how that's going to play out as you move into 2025?
Paul Lang: Hey, Michael apologies, we're struggling to hear. We got bits and pieces, but can you repeat?
Michael Dudas: Can you hear me now?
Paul Lang: Yes, it's much better.
Michael Dudas: Okay. I'm sorry. Thank you very much. Just Paul, just the supply side in Appalachia, given the weak market next couple of quarters, I would think that could see some more meaningful kind of supply pull back? And are you seeing that from vendors or labor flows or what the talk is in the marketplace?
Paul Lang: I think you hit on what I would call some of the main leading indicators, which are – look people are all of a sudden not an issue. We have – we're in as good a shape as we've been in a long time. And the labor pressure, by now, I mean, just finding the people to work the mines as well as pressure on wages has really diminished. And I think that's the first main indicator. I think the second one is that you're also starting to see the availability that's better on parts and supplies. And we're starting to hear some of the lead times on equipment dropping. So I think all those indicators telling you that there is a slowdown coming. And as I said in my remarks, we're seeing particularly some of the smaller mines drop off line and the cost pressure is starting to hit them. Look, these periods of weak markets aren't any fun, but in the end, it kind of cleaned the production side, I think it's good for everybody.
Deck Slone: And Mike, Paul just talked about Appalachia and you asked about it, and that's probably the – where we've been leading indications – the reality is these prices don't work anywhere is our view. And that's not to say first quartile producers can't continue to generate cash. But you've got a lot of players out there that are struggling. And I'd say that even in Australia, when you add back things like sustaining capital, you're looking at prices that are well below a breakeven, even with the big horses in Australia, particularly post the change in the royalty structures there and the other pressures we've seen. So we do believe the supply side is going to come under pressure. It's why we're feeling positively about 2025 and where the market might trend. A little demand uptick would certainly be positive. And I think what it could have a significant influence on coking coal markets and prices. But by the same token, this will fix itself as well if these prices stay down where they are for much longer.
Paul Lang: I'd say the last comment I'd make, and I don't want to try to make it sound any better than it was because Q3 was a tough quarter as bad as the quarter was at $93 cost, that's still probably $20 below the bottom of the midpoint. I mean there's a lot of mines in the U.S. that are out of the money at these prices.
Michael Dudas: Yes, duly noted, Paul and Deck given that your improvement in operations and maybe the improvement in market, I guess the timing on the transaction could be quite helpful for everyone. Thanks for your time guys.
Paul Lang: Thank you.
Deck Slone: Thank you, Mike.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Paul Lang for any closing remarks.
Paul Lang: Thank you again for your interest in Arch, it's not only today but also over many years. Upon the anticipated closure of the merger, we'll be turning a page in our long and successful history. But at the same time starting an exciting new chapter with CONSOL team core natural resources. As we prepare for the transition, I want to thank the people who made this new beginning possible. Throughout the process, the Arch Board, the management team, our employees, the employees of CONSOL have worked tirelessly and selflessly to bring this value creation merger to fruition, believing that it is the right path forward to ensure the company's long-term success. It's true been an admirable show of professionalism that the organization, its shareholders and its other stakeholders are in their bet for delivery. With that, operator, we'll conclude the call, and I look forward to the possibility of reporting to the group in Q1 as part of the first quarter actual resources earnings call. Stay safe and healthy everyone.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.